Operator: Hello, and welcome to the LyondellBasell's 2012 teleconference. At the request of LyondellBasell, this conference is being recorded for instant replay purposes. Following today's presentation, we will conduct a question-and-answer session. (Operator Instructions) I'd now like to turn the call over to your host, Mr. Doug Pike, Vice President, Investor Relations. Sir, you may begin.
Doug Pike: Thank you, Glenn. Well, welcome to LyondellBasell's third quarter 2012 teleconference. And I'm joined today by Jim Gallogly, our CEO; Karyn Ovelmen, our CFO; and Sergey Vasnetsov, our Senior Vice President of Strategic Planning and Transactions. Before we begin the business discussion, I'd like to point out that a slide presentation accompanies today's call, and is available on our website at www.lyondellbasell.com. I'd also like you to note that statements made in this call relating to matters that are not historical facts are forward-looking statements, and these forward-looking statements are based upon assumptions of management, which are believed to be reasonable at the time made, and are subject to significant risks and uncertainties. Actual results could differ materially from those forward-looking statements. And for more detailed information about the factors that could cause our actual results to differ materially, please refer to the cautionary statements in the presentation slides and our financial reports, which are available at www.lyondellbasell.com/investorrelations. A reconciliation of non-GAAP financial measures to GAAP financial measures together with any other applicable disclosures, including the earnings release, are currently available on our website, lyondellbasell.com. And finally, I'd like to point out that a recording of this call will be available by telephone beginning at 2 pm Eastern Time today until 11 pm Eastern Time on November 26, by calling 800-839-5569 in the United States and 402-998-1150 outside the United States, and the pass code for both numbers is 9511. And during today's call, we'll focus on third quarter 2012 performance, the current environment, and the near-term outlook. With that being said, I'd like to turn the call over to Jim.
Jim Gallogly: Thank you for joining our earnings call. As Doug mentioned, a set of presentation slides accompany this call, and are available on our website. Let's begin by taking a look at page 4 and reviewing a few financial highlights. Income from continuing operations was $851 million and EBITDA was $1.57 billion. The quarter included some items that are not reflective of the underlying business and exclusive of these, income from continuing operations was $791 million. Our earnings per share were $1.47 or $1.36 exclusive of the items that I referenced. I also want to highlight that we announced both $2.75 special dividend as well as a regular $0.40 per share interim dividend. Overall it was another very good quarter. The fundamentals that have benefitted us over the past couple of years continue to drive our success. Key areas of strength were North American ethylene margins and production above our nameplate capacity as well as record profitability for the Intermediates and Derivatives segment. Karyn and I will delve into more details during the call, but before doing that, I want to highlight another bright spot, our safety performance. And so I had number 5 you can see that our safety performance continues to be excellent reflecting a focus on the details of operations. I believe that our safety record is very near to best-in-class with a current recordable incident rate of 0.26. Now, I'd like to turn the call over to Karyn to discuss some key elements of our financial performance.
Karyn Ovelmen: Thanks, Jim. Please turn to slide number 6, which shows our first quarter and last 12 months segment EBITDA, the $1.57 billion of EBITDA reflects a $209 million decrease in the second quarter. A majority of which occurred in European olefins operation. Year-to-date we have generated approximately $4.6 billion of EBITDA. From a segment perspective during the third quarter, O&P Americas continued to generate very strong results with EBITDA of $820 million. As Jim mentioned this excellent performance was driven by continued strong ethylene margins and operations. However, versus the second quarter underlying business results declined primarily due to lower ethylene and ethylene co-product prices. O&P-EAI produced $75 million of EBITDA, Results from European olefins and commodity polyolefins will approximately breakeven reflecting poor economic and industry conditions. The segment EBITDA, which generated from the differentiated polyolefin products, Intermediates and Derivatives segment generated record EBITDA of $475 million. The Chemical Product results were relatively unchanged representing approximately 55% to 60% of the segment EBITDA. Oxyfuels results increased significantly benefitting from the strength and gasoline prices and octane value versus feedstock costs. Refinery segment generated $150 million of EBITDA. Underlying results benefitted from strength and margin as Maya 2-1-1 benchmark spread increased to $26.65 per barrel. However, byproducts values remained weak and operating constraints reduced crude throughput to approximately 240,000 barrels per day. Technology segment performance remained steady with EBITDA of $48 million. The bar chart on the right depicts the last 12 months EBITDA by segment. Over the period, total EBITDA was approximately $5.3 billion approximately 50% was generated from O&P Americas while the Intermediate & Derivatives segment generated $1.58 billion or approximately 30%. As you can see from the relative heights of the bars, the trends over the past quarter are relatively consistent with the past 12 months. Let's turn to slide number 7 and take a look at the key elements of our strong cash flow. During the third quarter, cash balances increased by approximately $1.6 billion, closing the quarter over $3.5 billion. As you can see in the chart in addition to the cash generated from our earnings, the quarter benefited from declining inventory which you might recall, we mentioned this inventory reduction during the second quarter earnings release call. On the right side of the chart you can see that over the last 12 months our cash balance is declined from $5.9 billion to $3.5 billion. Operations, including working capital generated over $3.5 billion of cash, while usage included approximately $1 billion for CapEx, $1.5 billion of debt repayment, and $3.3 billion in dividends. Last quarter, I provided guidance regarding our capital spending and interest expense. Our capital spending outlook for the year remains unchanged at approximately $1.2 billion. You should expect that this will increase to approximately $1.5 billion next year and into 2014. Terms of interest payments, we are now running at a quarterly pace of approximately $65 million. You probably noted that our third quarter tax rate increased by approximately 3% versus the first half of the year way. Increased results from the strength of the U.S. business profitability relative to the rest of the world versus the first half of the year. A higher tax rate impacted third quarter earnings by approximately $0.07 per share. With slide eight, we have included our working capital chart and a few key statistics. I won't go through each rich item but I do want to highlight our free cash flow. Year-to-date we have generated $2.8 billion. This enabled us to return a significant amount of cash to our shareholders. Inclusive of the dividends announced today our 2012 dividend payments are anticipated to be $4.20 per share approximately $2.4 billion resulting in a dividend yield of almost 8% at the current stock price. Regarding dividends we currently expect that for U.S. tax payers at least two thirds of our anticipated 2012 dividend payments will qualify for dividend treatment under the IRS criteria. The balance would be treated as return on capital. Of course this is subject to change in refinement. We felt that we should provide some early guidance to assist your year-end tax planning. Now, I'll turn things back to Jim for a further discussion of our business results.
Jim Gallogly: Thanks, Karyn. Let's discuss segment performance, beginning on slide number 9, with Olefins & Polyolefins Americas. Third quarter EBITDA was $820 million, an increase of $44 million versus the second quarter. However, these results include a lower cost of market inventory credit, while the second included a charge and an insurance settlement. Exclusive of these items underlying EBITDA decline by $69 million versus the second quarter. Underlying Olefins EBITDA declined by approximately $45 million from the second quarter. Ethylene production volumes increased significantly as there were no turnaround activity. Our plants ran very well exceeding design rates. Margins declined both to the lower prices and increased cost of ethylene production. On average, ethylene price decline by approximately $0.025 per pound versus a second quarter of 2012. However, the price decline was reversed earlier in the third quarter as gradual price increases were realized throughout the quarter. The cost of ethylene production increased, but the increase was generally limited to naphtha cracking as coke product prices declined. Gulf Coast ethane price decline by approximately $0.08 per gallon where mid-west ethane increased by $0.03 per gallon. During the quarter, 85% of ethylene was produce from natural gas liquids with ethane accounting for approximately 65% of the ethylene production. Propane accounted for approximately 18%. All the Olefin results declined by approximately $25 million versus the second quarter. Sales volumes in both polyethylene and polypropylene increased. Polyethylene spreads declined by approximately $0.02 per pound but polypropylene spreads were relatively unchanged. Overall, it was another very good quarter for this segment. As we look to the fourth quarter thus far the underlying fundamentals that have benefitted us remain intact. Ethylene and propane prices have remained low and Olefins production has been strong. However, it is difficult to experience some moderate slow down as we approach the end of the year. Let's shift our focus to slide 10 and the Olefins and polyolefin Europe, Asia, and then international segment. Third quarter EBITDA was $75 million. A $260 million decline from the second quarter, which benefitted from falling Naphtha prices. During the third quarter, our differentiated products touches polypropylene compounds and Catalloy resins continued to perform well, generating results consistent with prior quarters. We did not receive any dividends from our joint ventures, but they generated equity income generally consistent with the second quarter. Within Europe, underlying business conditions were weak. Olefins and commodity polyolefin margins were near breakeven throughout the quarter. Olefin production volumes declined due to a turnaround at our largest European cracker. The polyolefin sales volumes exceeded weak second quarter sales by approximately 17%. Despite the volume increase combined polyolefin results only improved by approximately $10 million. Polypropylene compound and polybutene-1 results improved by approximately $20 million as volumes remained steady and margins increased slightly. During October, the environment for European olefins and polyolefins have remained difficult, ethylene plant and turnaround has continued into October as planned but we anticipate that the impact on our financials would be minor. Although, we expect continued good performance were differentiated products a seasonal slowdown is typical. Now please turn to slide 11 for a discussion of the intermediates and derivatives segment which had record EBITDA a $475 million. EBITDA exceeded the second quarter by $20 million. Underlying improvement was actually stronger as a second quarter included an insurance settlement and JV dividends with total $32 million. Within the segment underlying results for the propylene oxide and derivative products, as well as the intermediate chemicals were relatively unchanged, propylene oxide and derivatives volumes increased slightly but prices declined. The other chemical products generally follow the similar trend. Oxyfuels EBITDA increased by approximately $60 million as it benefitted from both increased margins and volumes. The chart on the lower right provides a perspective on industry margins. Our results generally follow this trend. We typically expect a slight fourth quarter slowdown of the chemical products within the I&D segment, we expect oxyfuel results to decline more both due to seasonally lower margins and the impact of a turnaround at one of our U.S. PO TBA plants. Let's move to slide number 12 for a discussion of the refining segment. Third quarter EBITDA was $115 million, a decline of $11 million versus the second quarter. Exclusive of the second quarter insurance settlement and third quarter legal restitution related to a former employees fraudulent activities underlying refinement results improved by fractionally $20 million. Throughput at the refinery was approximately 240,000 barrels per day as we experienced some operating issues in our gas plant and coking process. These were addressed during the quarter but resulted in lower throughput. The industry benchmark Maya 2-1-1 spread increased are approximately $3.50 per barrel to average $26.65 per barrel. Our spreads that generally follow this trend, refinery continue to realize the lower than just historical yield on the benchmark as the of byproducts such as petroleum coke and various natural gas based products remained depressed. We estimate that this impact on our margin -- impacted our margin by approximately $2 to $3 per barrel versus historic trends. Looking to the fourth quarter our operating issues have been addressed and we expect to run the refinery at full rates. Industry benchmark margins typically decline by several dollars during the fourth quarter. Early this week the Maya 2-1-1 spread averaged approximately $21 per barrel. Let's get back from the details and summarize the business environment on slide number 13. Third quarter results were strong and the factors that have shaped our results remain largely unchanged. The U.S Olefin business continued to benefit from shale gas opportunities and our plants operated very well. In Europe, the weak economy and high cost of ethylene production resulted in near breakeven EBITDA but the differentiated products within O&P-EAI generated good results. Intermediates and Derivatives had record profits from steady chemical results coupled with record Oxyfeul EBITA. Refining crack spreads were good, but low byproduct prices depressed our realized margins. We also encountered some operating problems, which reduced throughput at the Houston refinery. The fourth quarter started with similar drivers across most business areas, however I as mentioned we typically expects some slowing during the fourth quarter thus far, we have not seen significant slowing and we don't expect to experience a decline as severe as we saw last December. Before we take your questions I want to address a few other points beginning with our growth programs; first the announced projects remain on schedule and although we have not yet received our environment permits the process is proceeding as planned. Today I would like to introduce the next projects that we are developing. The first project is a (Inaudible) Ethylene Expansion. Engineering has progressed we've applied for the required environmental permits the project is expected to have excellent economics somewhere to the port expansion. Details have been finalized but we expect to add another $250 million pounds capacity during 2015. We are also developing a plan for Corpus Christi expansion. It is premature to discuss this project other than to say we want to say that it is larger than the [Channelview] expansion and looks very promising. Also wanted to shed some additional light on $2.75 per share special dividend that we announced this morning. Over the past several months Karen the board and I have been defining these payment and our future plans. The philosophy that we have discussed with you on many occasions has not changed. This special dividend supports our commitment to return value to our shareholders. Assuming that the results remain strong we're fully funding our growth plans, we intend to return cash to our shareholders in periodic fashion perhaps in varied amounts and more frequent intervals. We will also consider sharing purchases as in appropriate. Management will continuously access our situation and presuming specific actions within the frame work of this velocity. At this time I won't go into specifics but helps itself clarify our intensions. Finally, I want to discuss MOPs and our current thoughts. First it is our responsibility to consider the risks and rewards round any opportunity to increase shareholder value, this is no exception. We have done some work around MOP concept weather its preliminary there many complexities considering this area so we will take some time to develop the firm opinion as weather this opportunity can be executed by us to benefit of shareholders. Those of you have come to know our new company appreciate that our style is not likely make projections and commitments, rather we prefer to bring forward our plans and actions when they are concrete and we are convinced that we can be successful. We will follow the same course here in considering the merits of MOP structure preceding assets. We will be tackling our deliberations and bring forward a plan at the appropriate time. We are now pleased to take questions, Glenn.
Operator: Thank you. (Operator Instructions) The first question comes from Jeff Zekauskas from J. P Morgan, your line is open
Jeff Zekauskas - J.PMorgan: Hi, Good Morning can you talk about your beliefs concerning European Olefin and Polyolefin capacity over the next four or five years. That is - do you think that capacity will be similar to where we are now, do you think there will be material rationalizations or - something in the middle that you can't tell.
Jim Gallogly: Well, Jeff, I think there will be some rationalization, as you know we've shut down some capacity that was fairly expensive, a couple of years ago, we continue to monitor our assets, I think there will be some industry capacity rationalization, but I don't think it will be anything extreme. I think that's been the history of Europe. A this point in time, margins are basically breakeven, there's obviously some pain in the industry but everybody is working hrd to reduce their costs and trying to address issues that way.
Jeff Zekauskas - J.PMorgan: Okay, and then finally when you chose your $2.75 special dividend, why didn't you choose, $3.75 or $1.75, why was $2.75 the appropriate number.
Jim Gallogly: Well if you look at our balance sheet, we've tried to be very conservative, it's - fairly difficult economic environment, we went to be - a big cautious but as we said we will also look at perhaps more frequent and smaller special dividends as we go forward, also look at share repurchases.
Jeff Zekauskas - J.PMorgan: Okay, thank you very much.
Operator: Your next question comes from P.J. Juvekar, Citi. Your line is open.
P.J. Juvekar - Citi: Yes, thank you. Jim you mentioned, that - mentioned your round two have debottlenecking and I was surprised to see that Midwest crackers were not included in that. So just any comment about that. And then this cracker advantage in the Midwest, once the pipelines get build from (Inaudible) to Mt. Belleview, you think that advantage could potentially go down next year?
Jim Gallogly: P.J. first on the Middle East cracker expansion we don't have the same opportunities expand there that we do here. The first question that has to be asked is there additional ethane feedstock available. Now at this point in time that doesn't exist. If it did, we'd be very happy to expand those crackers. But it simply doesn't exist at this moment in time,
P.J. Juvekar - Citi: At a pricing that was previously available?
Jim Gallogly: In terms of the -
Sergey Vasnetsov: P.J. I just want to clarify for you, because I think we had a little trouble hearing you. Are you asking about our Middle East crackers or Midwest U.S. crackers?
P.J. Juvekar - Citi: I'm sorry, Midwest Cracker.
Sergey Vasnetsov: I'm sorry I misunderstood.
P.J. Juvekar - Citi: The Midwest crackers.
Jim Gallogly: Midwest crackers, we've got slight debottleneck in the tap and after a turn around. There is still a pretty significant ethane advantage, but we've already seen that (Inaudible) with pipeline take away capacity, I think it's about where it's going to be for a while, I think it will deteriorate too much more over the near term. And there will always be a transportation benefit to those crackers.
P.J. Juvekar - Citi: And then in your oxyfuels business, in MTBE, you're seeing some good spreads which is really a spread, between oil and natural gas and natural liquids prices. Do you think that's sustainable given the advantage here in the U.S. and that business could contribute at current levels, thank you.
Jim Gallogly: Well, as long as gasoline prices are high, and the feedstock costs are low we'll see very significant margins that's been the case so far, so far year-to-date we've also been able to move more capacity more volume and so that's been a benefit. These commodity prices, generally should be favorable going forward because of cheaper natural gas prices, so we're optimistic that oxyfuels would be a good business for us.
Doug Pike: PJ one thing that and you can see it on the charts you do have to consider in the very near term a seasonality of course, you know and that's always been there in that business because the raw material sees some seasonality.
Jim Gallogly: Right, and we pointed that out previously in our other comments.
P.J. Juvekar - Citi: Sure, thank you.
Operator: Your next question comes from Kevin McCarthy, Bank of America/Merrill Lynch.
Kevin McCarthy - Bank of America/Merrill Lynch: Yes, good morning. Jim I just wanted to follow-up on your comments regarding exploration of an MLP structure. I appreciate you working on it, it must be a very complex endeavor given your level of integration. But, I was wondering if you have reached any preliminary conclusions as to whether it would make sense for any of [as well] in those existing assets or would the scope be principally some of the new projects resident in your pipeline.
Jim Gallogly: Kevin, that could be either new or existing projects. We have to look at things like where we are on our tax basis, a variety of different things. You could always consider unique assets to put into an MLP. We have looked at that somewhat before, but as you know there is a new ruling and we are going to take a much harder look at things going forward, more analysis to come.
Kevin McCarthy - Bank of America/Merrill Lynch: Okay, fair enough. Then on polyethylene resin in the United States, would you comment on what you are seeing in terms of demand trends kind of in the wake of hurricane Isaac dove tailing into your order book for October. What does that look like and do you think it might be strong enough to get polyethylene resin prices higher?
Jim Gallogly: At this point in time inventories in the chain are reasonably low, that's particularly true with polypropylene, somewhat true with polyethylene. Days on hand are fairly low. Whenever you have the weather events, you know that can change things a bit, but the most important thing we watch is which way our price is going. If customers think prices are going up they try to build a little bit of inventory and if it's going down of course they are holding of their sales until the - and their buying patterns until a little bit latter. I don't know that that storm will have a significant impact on things. It shouldn't be fairly modest, obviously there is a fair amount of processing up in the northeast, but we'll just see where that goes. I think so far polymer demand has been pretty good and we have been able to move all the product we need to move. One of the other unique things which helped our profitability if we look at our olefins chain, as I mentioned we ran extremely well this last quarter and continue to do so into this quarter. We find that sometimes better to sell spot ethylene than to make polyethylene out of it. We have had those opportunities when our competitors are having operating [missions] we are very happy to go into the spot ethylene market.
Kevin McCarthy - Bank of America/Merrill Lynch: Then last question if I may. I think you have had a objective to extract 200 million of run rate savings out of your European operations by year end. How much of that has been accomplished and how much is still to come here?
Jim Gallogly: We are working on that very, very hard and we have had a lot success. That number is going to increase. When it comes to cost, I would like to make a very important point. In our Company we generally don't do big cost adjustments at some point in time and announce it in the quarter. I would like to tell our leaders within LyondellBasell start on January 1 and when we get to the budget season you need to present a package that shows flat to falling costs. That's a hallmark of how we operate our business. You'll see that we honor that in the way we do our business day in and day out. We are in discussions with works councils on various matters within Europe and there will be more to come on that, but we recognize the economic difficulties within Europe and we are a Company that addresses those kind of issues. So you'll see a bit more activity in Europe and in other places, but we manage costs everywhere starting January 1, of every year.
Kevin McCarthy - Bank of America/Merrill Lynch: Very good thanks a lot.
Operator: Your next question comes from David Begleiter, Deutsche Bank.
David Begleiter - Deutsche Bank: Thanks, good morning.
Doug Pike: Good morning, David.
David Begleiter - Deutsche Bank: Jim you are expanding obviously La Porte, Channelview and Corpus Christi, but you have yet to announce a greenfield cracker, where does that thought process stand either by yourself or a potential JV partner?
Jim Gallogly: Well, we have had significant interest in a variety of parties participating in an asset like that. Obviously these debottlenecks have really favorable economics and if we can bring those up in 2014 and 2015, we'll be well in advance of the big capacity ways. I think you have seen David that some of the competitors have said now that their schedules are slipping from 2017 into latter years. I personally think you are going to see more of that. We continue to discuss the combo cracker, but our focus in the near-term has been getting this other incremental capacity online, because the as installed cost is a fraction of the newbuild. A lot of people are quoting $0.75-$0.80 plus for newbuilds and our expansions are typically in $0.50 for annual pound range perhaps a little bit less than that. So the economics are just very compelling for the debottlenecks and as we work the numbers, as you can probably start to add some of the capacities up, we are in essence getting pretty close to putting a (inaudible).
David Begleiter - Deutsche Bank: Jim, just on potential buybacks next year, what's the timing of when you would be you'll have to buy back stock under Dutch corporate law?
Jim Gallogly: The Dutch law changes on January 1, as it impacts LyondellBasell and its dividing paying history. So that would be the possibility, but as I said we'll look at [smart ways] to return back to our shareholders. I think the key takeaway is we'll look at that more frequent and perhaps smaller and see where that take us, but I think that's a prudent thing to do in light of economic uncertainties and we like a strong balance sheet, but we have shown very clearly that we'll return value to our shareholders.
Operator: Your next question comes from Duffy Fischer, Barclays.
Duffy Fischer - Barclays Capital: Yes, good morning.
Doug Pike: Good morning, Duffy.
Duffy Fischer - Barclays Capital: When we listened to a couple of calls so far this quarter, couple of your competitors look like they are in the mode of kind of ratcheting back a little bit on CapEx. So I am just wondering when you look through the $1.04 billion that you talked about last December. Are there projects in there that because of where the global economics are today, might get pushed out or how do you stand on what you guys announced last year?
Doug Pike: Duffy, we have a very disciplined capital program. The projects that we are implementing have very strong returns and at this point we don't see ratcheting back any of those. As we have gone through the budgeting process this year we have looked at how much we spend on basic maintenance. We are trying to get more value for the dollars we spend and have a great deal of emphasis on that. Kevin Brown is in charge of project execution these days and we are doing a very nice job on all of that. Now there is potentially one exception that was the Flex project expansion there and at this point in time that doesn't look as good as it did in the past, but instead of that what we are looking at is expansions, debottlenecks at both Corpus and at Channelview, and those are actually stronger projects. So we're feeling pretty good about our capital program the rate we are spending it's very, very disciplined compared to the cash that we have generated.
Duffy Fischer - Barclays Capital: Okay, and then of those projects some of the larger discreet ones we can monitor the methanol restart, the PO JV, but of the smaller ones, how much of that should we think about actually comes online next year and starts contributing kind of with that call it 50% ROIC payback per yield I guess when we think about the investment.
Doug Pike: Well we talked about methanol next year, but when we looked at La Porte that was '14 and these other ones look like 2015 when they startup. So, you probably noticed in our ethane usage that we're up. We have got the debottleneck work done at Channel View where that was going to happen. We have done some other work in our other facilities. So you are already seeing some benefit from that. Crackers are running very well, they are running very hard and we are using more cheap natural gas liquid feed stocks.
Doug Pike: Duffy, you maybe referring to the spending on the small high return project. We really started those in '11 and then they typically got kind of a two to three-year sort of payback. So we are just partly through it, you'll start to see those programs really next year and forward.
Operator: Your next question comes from Don Carson, Susquehanna Financial.
Don Carson - Susquehanna Financial: Jim, I had two questions on ethane, one is near-term in the US. I mean, you'd correctly called for growing ethane surplus. We have seen ethane's fuel value premium condense significantly. Do you think we have reached the bottom there in terms of where ethane will trade relative to its fuel value, so it will just cycle up and down with gas now? And the related ethane question would be, we saw INEOS arrange a deal to potential take ethane over to Europe. Do you think that there is other opportunities to do that and how would (inaudible) and those European assets be positioned to take advantage of any ethane exports from the US.
Jim Gallogly: Don first on the question of ethane pricing in general. Obviously last year in December we saw real spike in ethane on the [plus] and the gallon. I commented earlier that we don't think that's going to happen again. Things seem to be long. We expect that to, ethane to stay reasonably cheap for the foreseeable future. Could it go lower than this to-date, it has been lower, and so I certainly think that's possible. You get into the question of rejection economics and I know you are quite sophisticated based on reading some of your writing on that. There is always that question how much they want to reject and how long ethane is, but things are pretty favored right now for us and ethane prices remain pretty cheap. In terms of the ability to export ethane, I really think that's going to be pretty limited, that's kind of an expense route you have to have some facilities to do that. I think the volumes will be pretty small. One of the things that drove the Middle East ethane advantage was the high cost they are trying to export that particular NGL cut. So I think that those same dynamics remain true in the United States and the ethane advantage will be something of a U.S. advantage and it's not something we're looking at in any kind of size or scope over in Europe.
Don Carson - Susquehanna Financial: Thank you.
Operator: Your next question comes from Hassan Ahmed, Alembic Global. Your line is open.
Hassan Ahmed - Alembic Global: Good morning, Jim. Just wanted to revisit the dividend - special dividend discussion just trying to get some sort of guidance as to how we should think about some sort of a maybe minimum dividend pay out ratio, I mean what are your thoughts about that?
Jim Gallogly: Well tried very hard not to be specific Hassan I think the reason is because always wathcing the economic environment, sources and usage of cash I think that should give you comfort is that as you looked to what we did last year late last year and here in the third quarter announcement we're returning significant cash to our shareholders, as basically an 8% dividend yield and 80% of our free cash flow, we think we're doing the pretty good job of returning cash to our shareholders and as I mentioned we'll look at perhaps more frequent and smaller in size.
Hassan Ahmed - Alembic Global: Fair enough, now on a slightly different topic again the ethane side and natural gas prices in particular, I was talking to one of the methanol producers yesterday with North America and what they're talking about is as they consider new capacity possibly it's trying to structure long term contract with gas process and the like and one of the things that they've been talking about is trying to sort of structure contract such beneficiary to both parties where indulgence some sort of margin sharing agreement with these gas processes so what are your thoughts about that?
Jim Gallogly: Well, it's a very dynamic market at this point in time we excited to bring up methanol plant next year, it's been shut down for a while because it will have a nice impact on our earnings as you can imagine restarting an ideal plant with this kind of cheap natural gas prices wonderful thing for us, so we're happy to bring it on we're looking at how we market or methanol but generally those markets agreement aren't something that we as a company favor, I can't get into the details of exactly how we're going to move that product but we have very definitive plan and place already and expect to be able to move the volumes for early nicely once have plans starts up.
Hassan Ahmed - Alembic Global: Sure, but I guess what I was trying to get that was that as you also considering some of the Ethylene expansion, are you having conversations with the gas processes and gas companies about structuring some sort of long term pricing regiment?
Jim Gallogly: No, generally we're not, we generally play with the market on that and we think ethane is going to be quite long and we like the pricing dynamics, I think a few company started to do some of that and got (inaudible) little on the high side where they thought the prices were going to be so we'll watch the market. Now if things (inaudible) going to change significantly we may change our mind on that but at this point in time we're just kind of following the pricing curve as our ethane moves and frankly I think we've been pretty much right on that so far.
Hassan Ahmed - Alembic Global: Very good, thank you so much.
Operator: Your next question comes from Denson Andrew , Morgan Stanley.
Unidentified Analyst: Jim could you just mention for us around two now of brownfield can you just help us understand I mean some it's obviously but some of it might be a little more launch why certain projects one round two versus one and are that - should we expect lower returns with around two round one and is there round three?
Jim Gallogly: Yeah, Denson I think in round one, we were doing fairly small projects that had very high returns very short pay our I think Doug mentioned that a few minutes ago, that was in part because we were emerging from bankruptcy had to get our operations cleaned up or kind of cost structure and so we were trying to improve our balance sheet and so we tried to have great deal of discipline around our capital. I used to work chapter instead of rounds in chapter two we started to expand and we talked about debottleneck project so that very robust economics. We announced leopard, we talked about the methanol restart we'd now talk about a couple other expansions that existing crackers that was have extremely robust economics too if you think about where all ethane margins are today and you start thinking about capital and $0.45, $0.50 annual pound range those are very, very nice economics, so we're in that chapter today we were doing those expansion and improving our execution ability as Karyn mentioned we're talking about a capital budget in the $1.5 billion range next year because of those addition somethings, longer term we'll look additional growth projects but as we said one might be a condo cracker but we continue to assess that based on seeing what their competition is doing, our strategy has been the beat them to the marketplace get the capacity up earlier get it up cheaper and make money in the andrium more to come on future CapEx.
Unidentified Analyst: Okay, and then maybe secondly, just obviously the operating rate over 100% name plate in the quarter, is impressive, can you just dimensionlize for us, how much that help you relative to your future running sort of it a very strong 90ish rate and how sustainable do you think this level is?
Jim Gallogly: Well this is Doug, Denson we produced about well it was 2.4 billion pound little 2.4 billion pounds in the quarter. so if that's our basically our full name plate capacity. So if you look at that you take each percent is worth of another 24 billion pound or so in 0.25, 0.30 a pound, the math is kind of right there, and we've been having good strong operations for a while and as Jim said that's where we've been putting our focus and money making sure these things are running well and that were capturing that $0.30 a pound every month and every quarter.
Unidentified Analyst: So there is nothing incremental in terms of fixed costs or so anything like that that's not obvious.
Jim Gallogly: Nothing that's you're going to see that's not obvious I mean of course there is a fixed cost absorption you're getting the variable profit on the in all the increments obviously.
Jim Gallogly: Yeah, I think couple important points to think about in terms our ability to sustain that, generally people can't run crackers of that kind of the rate or prolong period of time but we have spent considerable money in turnarounds over the last couple of years where some hedging up to do, but as you know both big crackers or channel have been in turnarounds more like go on and on but we've been freshening up our assets, just finished up big turnaround of vesseling so we've got some assets ready to go and they're showing that they can run in the sustain way. We really focus on those details to shows up in our safety records, shows up in our operating rates and we're very happy to show a less five points to competitors when they're not running.
Unidentified Analyst: Okay, great. Thanks very much.
Operator: Your next question comes from Chris Marshall, RBC capital markets.
Chris Marshall - RBC: Hi good morning. The very spot on your OMP EIA segment has been your polypropylene compounds despite to slowdown Europe orders, you're still seeing some pretty good growth there so maybe can you highlight where the strength is coming from in this business.
Jim Gallogly: Well in polypropylene compound in we have very nice market shares particularly in Europe but also in the United States in to (inaudible) business. In Europe there has been some softening Nevada sales that's been more with a call it local producer himself primarily into their local market, country specific where some of the larger more global automakers still have pretty good sales and we've maintained a very nice market share there and we tried to ourselves on extremely high quality great consistency and the ability make those premiums customers happy and so our volumes have held up pretty nicely you see good quarter by quarter type earning, so that's a business we're very proud off.
Chris Marshall - RBC: Right, and your technology segment pretty stable and frankly not talked about too much on these calls, do you see the potential for growth maybe in your catalyst side or in (inaudible) license for that business.
Jim Gallogly: We've had a bit more licensing sales these days there has been some pickup in licensing sales in China, we have great technologies and when people start to add Polyolefin capacity we will always get the call and always get a chance to compete and as you know we have a very nice market share there so we'll expect that we'll continue to have very, very competitive licensing business going forward, now on catalyst that's somewhat depends on how markets, how much Polyolefins are being sold particularly primarily polypropylene when you look at our catalyst sales if volumes were in Europe, that impacts us a little bit but as you know we have worldwide sales and catalyst and they've helped us recently well the people who have come to us in the past continue to come to us, we think we have a wonderful offering and people see great mileage and products out of our catalyst and so done a good business.
Chris Marshall - RBC: Okay. Thanks.
Operator: Your next question comes from Nils Wallin, CLSA. Your line is open.
Nils Wallin - CLSA: Thanks and good morning. Question on the use of cash, obviously you've highlighted special dividends in grater frequency as well as you're continuing dividend, does this mean that you've taken acquisitions whether bolt on or larger off the table in terms of capital allocation?
Jim Gallogly: No, Nils, I don't think we've taken that after table we're just very selective and what we do we always look to see does it make us better not does it make us bigger there have been variety of assets that are being for sale and we're happy to let our competitors purchase those they didn't look like they would help us and so we use the word discipline the great deal and our capital strategy, the projects that we do or expected to have very nice returns we're extremely disciplined and so M&A is not off to table but we'll be selective and always use the word accretive.
Nils Wallin - CLSA: Got it and just to follow on with that if they were an opportunity, is there anything in particular that looks interesting to you in terms of whether it's upstream, downstream or sort of adjacent to your existing footprint?
Jim Gallogly: We try not to be very specific about that at this point in time, we have a very active planning group that surveys risen all the time but look at things that might be attractive at the right points in time and we continue to assess those things talk with board about it but so far those assets have not become available.
Nils Wallin - CLSA: Understood. Thanks very much.
Operator: Your next question comes from John (inaudible), Credit Suisse. Your line is open.
Unidentified Analyst: Hi this is (inaudible) calling in for John, good morning.
Jim Gallogly: Hello, Avi.
Unidentified Analyst: Quick question on some of the new expansion, so given the large number of expansions in Greenfield out there in industry could you speak to the demand for contractors out there and if you've locked up the people and resources you need to handle the expansions or if there is risk tighter availability or increasing project inflation generally?
Jim Gallogly: Yeah, I think that's a point that everybody is paying a lot more attention to and as a result of that you see besides a permit questions you see some people talking about delays and when they might come up that could be an issue in the United States more so then some people expect at this point in time, our strategy has been to get in early and we're working with specific contractors as we speak on these expansions, so you know for adding furnisher and furnish there and doing some debottlenecking it's a whole lot easier project to execute than giant Greenfield cracker. And so far we've been able to find the resources that we need we've been able to enter into contracts for La Porte and those are progressing nicely contractors performing well so far on that project and as we look at these other expansions we're working with specific firms and I will get a chance to bid on that work and so far we've seen, we've been okay and what we're doing, again if we're in front of that wave that really helps us and people recognized there our debottleneck projects, were bring them work today versus few years now and (inaudible) grand it. Before I leave that I do want to be very specific about our we have started, we found for permits on some of these projects, sometime ago and we're in pretty advance stages impacted channel view I was just talking about that in more detail today, we previously filed a permit application on that, so we're pretty advanced.
Unidentified Analyst: Okay, great and then I have just a quick followup question on the MLP opportunity, could you touch and whether there any Dutch legal or tax implications that might complicate the opportunity or is that too early to tell at this point?
Jim Gallogly: Yeah, I am not aware of any unique Dutch issue that will complicate that for us.
Unidentified Analyst: Okay, great. Thank very much.
Jim Gallogly: We only have I think about eight minutes or so late, so I will ask everybody to try to manage our time and we'll try to manage the time for you, so that we can catch everybody.
Operator: Your next question comes from Frank Mitsch, Wells Fargo. Your line is open.
Frank Mitsch - Wells Fargo: Good morning folks. I wanted to Jim, you talked about decent demand in the polyethylene arena, could you talk about the outlook there domestic versus export can you size how those markets are playing up both the polyethylene and for Polyolefin here in U.S.?
Jim Gallogly: Yeah, first United States the demand has been reasonably good and we've been able to move the volumes that up, too much difficulty, when we talk about U.S. Polyolefins very, very important point a couple years ago we used to export fairly high percentage of our U.S. Polyolefin production to Asia particularly Polyolefin, that's dropped down to under 2% a day of our domestic production. We do take about 12% down to Latin America, South America, because there is some good value there and some very good customers that we've had for long time but we are not a U.S. based export platform to Asia like some of the other competitors now of course in the old days we have about 15% plus sometimes 20 to Asia, we just don't market that way today. The Asia markets have still been defined for our Middle East production because of the significant cost advantage. And so we haven't had any issues moving the product out to the Middle East. Now Asia markets are weaker, European markets are weaker but Unite States is help up pretty well.
Frank Mitsch - Wells Fargo: All right, great. So about 15% your Polyolefins are being exported today, mostly too Latin America.
Jim Gallogly: Yeah, little less than, yeah about that from the United States, yeah.
Frank Mitsch - Wells Fargo: All right, great, and then could you just quickly size the our ballpark the negative impact in the third quarter from the Wesseling turnaround for the Polyolefins Europe the refinery limitations. And then also looking at the fourth quarter in IND the PO/TBA turnaround just kind of ballpark up for us.
Doug Pike: Frank, this is Doug let me try to do that I guess first with Wesseling in Europe, we don't think that had much impact, probably under 10, for us that's consistent with the kind of results you're seeing and market in Europe right now. In terms of the refinery, run in 240,000 versus 268,000 barrels a day probably around $30 million or so in that third quarter of course we've got those issues are corrected now. The PO/TBA turnaround that's - that ones going to have on a PO side with the number of plans we have in the system that we have, we cover everything that way, we will lose some Oxyfuel ships over time because the TBA production effecting that. Of course that partially wide time these things into the fourth quarter rather than those strong second and third quarter. So let's just see how margins turnout on that.
Frank Mitsch - Wells Fargo: Terrific, thank you so much.
Jim Gallogly: Thanks Frank.
Operator: Your next question comes from Bob Koort, Goldman Sachs.
Bob Koort - Goldman Sachs: Thanks, appreciate your interest here. Maybe in extension of that last question, Jim if you look forward for the U.S. industry, maybe to the cost of the big Greenfield driven just after that do you think we're going to need to increase the export numbers out of the U.S. do you think that downstream markets in the U.S. so grow more prominently, where is that Polyolefin in the five, six, seven years going to go.
Jim Gallogly: Yeah, Bob a lot of that capacity has to be built for export, the United States market will grow but not to that size, if you think of all the capacity that was built up in China and the Middle East over the prior years, and you think about what we're talking about United States as an overall amount compared to the total olefins worldwide that still kind of the 5%, 6% if I remember capacity addition and should be absorbed if we get into normal economic conditions. But to your point United States will have to become an exporter Polyolefins and I think everybody's anticipating that putting in place logistics for that and so should be an orderly transition, I would expect.
Bob Koort - Goldman Sachs: As you start to consider share repurchase next year is an option for cash flow use? How do you think about the concentration of your largest owners, I mean there was some fair sales earlier this year but I guess you weren't able to buy that stock, could you directly buy from your largest owners and do you have a sense that they like to participate in any share repurchase ratably?
Jim Gallogly: Well, I really don't know the answer to that at this point in time, I'd be speculating and so I chose not to it's something that we've commented it on we have to watch, what is shareholder concentration, it was fairly high, that's been reduce slightly but we'll just watch that over time to work those .
Bob Koort - Goldman Sachs: Very good, thank you.
Operator: Your next question comes from Gregg Goodnight, UBS.
Gregg Goodnight - UBS: Good morning all. Oil prices being down in the last month, certainly beneficial for global heavy crackers obviously polyethylene prices are also down now in the last month about $100 ton or about 7% and my question to you if you guys thought about if we get into a oil weaker oil stronger gas price environment next year what impact that might have online help in total?
Jim Gallogly: Gregg, that obviously one of the reasons we're doing so well these days just because that ratio is blown out we still expect it to be very, very sizable oil prices can come down, some gas prices come up, I mean we still have an extremely strong advantage in the United States just on a relative basis compared to naphtha cracking, yes it would hurt the margin but those margins would still remain quite robust, so we feel pretty good about the future, it's always hard to predict oil prices have been in this business for a long time and the all business for a lot of years and they go up, they go down and right now they're still in pretty strong areas.
Gregg Goodnight - UBS: So, for 25 to one oil to gas ratio instead (inaudible) earlier in the year over 50 and that's been over 30 for most of the years is on a percentage basis what impact would you see to your EBITDA?
Jim Gallogly: Gregg, I mean, the one thing you have remember and this is you want to look at Brent and Brent crude has been actually averaged around the 110 plus or minus a little bit for over the last year, so you kind of really are sitting in that kind of a range now, we had spoken before about ethane and gas and have a relationship to the cost of ethylene, so that type of move have been and as Jim spoken before about gas has some room if it moved up a little bit ethane has been selling it over Btu value in the past anyway, yeah, so I think those are really the kind of the core you've got to remember two thirds of the world is really driving of that Brent crude price that's there naphtha base
Jim Gallogly: Yeah remember that at this moment in time that Brent to WTI differentials around $22 a barrel, so it's very, very significant.
Gregg Goodnight - UBS: Okay, appreciate your insights, gentlemen.
Jim Gallogly: Thank you.
Operator: Your next question comes from Victoria Lee (inaudible) your line is open.
Unidentified Analyst: Our question has been addressed. Thank you.
Jim Gallogly: Thank you.
Jim Gallogly: I think we'll take one more question then we're going to wrap it up.
Operator: Thank you. Your last question comes from Bill Young, ChemSpeak. Your line is open.
Bill Young - ChemSpeak: Thank you. Once again I am not really clear about on this, your polyethylene versus ethylene trades are pretty bad I think you showed a slight negative on your chart, like there in their enough market here for exports a polyethylene to not things up here in North America and firm out those negative spreads.
Jim Gallogly: Well, those are industry quoted spreads and obviously as you heard from our earnings report we're making some money, the values are frankly better here in the United States then exporting to Asia especially after transportation costs, so if we can move the product here, higher values will continue to do that and there is a positive margin both polyethylene, polypropylene, in the United States at present. You'll (inaudible) more break-even as we mentioned.
Bill Young - ChemSpeak: Okay. Thanks.
Jim Gallogly: Thank you.
Jim Gallogly: Well, let me make a couple final comments, we had a very solid quarter, we're executing our plan we have a great safety record generally reliable operations in Olefin margins are strong as nice to run over 100% your flat capacity. Our investments are very disciplined, we're increasing those as time goes on and we think the shareholders will significantly benefit from that. We've had a great cash generation and that has been able to continue to reward our shareholders and I think that $2.75 special dividend and $0.40 interim quarterly dividend their examples of that, we think we have a great future and we're very much appreciate to your interest in LyondellBasell. Thank you.
Operator: This does conclude today's conference. Thank you for attending. You may disconnect at this time.